Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ralph Lauren Third Quarter Fiscal Year 2024 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. I'd now like to turn over the conference to our host, Ms. Corinna Van der Ghinst. Please go ahead.
Corinna Van der Ghinst: Good morning and thank you for joining Ralph Lauren's third quarter fiscal 2024 conference call. With me today are Patrice Louvet, the company's President and Chief Executive Officer and Jane Nielsen, Chief Operating Officer and Chief Financial Officer. After prepared remarks, we will open up the call for your questions, which we ask that you limit to one per caller. During today's call, our financial performance will be discussed on a constant currency basis. Our reported results, including foreign currency can be found in this morning's press release. We will also be making some forward-looking statements within the meaning of the federal securities laws, including our financial outlook. Forward-looking statements are not guarantees, and our actual results may differ materially from those expressed or implied in the forward-looking statements. Our expectations contain many risks and uncertainties. Principal risks and uncertainties that could cause our results to differ materially from our current expectations are detailed in our SEC filings. To find disclosures and reconciliations of non-GAAP measures that we use when discussing our financial results, you should refer to this morning's earnings release and to our SEC filings that can be found on our Investor Relations website. With that, I will turn the call over to Patrice.
Patrice Louvet: Thank you, Cory. Good morning, everyone, and thank you for joining today's call. This holiday quarter, our campaigns around the world celebrated a season of giving, marked by warm, reflection and comfort that inspires people to dream of the best things in life and share them with those they love. Immersing people in our world of easy elegance and sophistication has epitomized Ralph Lauren over 57 years. And we continue to deliver this quarter-after-quarter to an ever-expanding audience to our next great chapter accelerate plan. This combination of magic and logic translated to strong financial performance in the third quarter, our biggest quarter of the year. With top and bottom line results that exceeded our expectations, along with significant EPS growth. As we continue to navigate a dynamic global operating environment, our teams remain keenly focused on what we can control. This starts with our timeless and highly desirable brand which is resonating with consumers all around the world and enabling continued pricing power in the market. Our ability to leverage a broad powerful portfolio of core products that we can flex with evolving consumer needs. Our continued deliberate shift toward our direct-to-consumer channels where we can best deliver our elevated and connected consumer experiences and which once again led growth in the quarter. And all of this is underpinned by the agility and operational discipline we have built into our business so that we can continue fueling our strategic growth initiatives for the long-term. As we outlined at our last Investor Day, we are strongly encouraged that we have built a sustainable and resilient model with multiple diversified drivers for long-term growth and value creation. Our third quarter performance was a clear example of how we're driving progress across our three strategic pillars. As a reminder, these include, first, elevate and energize our lifestyle brand, second, drive the core and expand for more; and third, win in key cities with our consumer ecosystem. Let me take you through a few highlights across each of these areas. First, on our efforts to elevate and energize our lifestyle brand. We continue to harness the power of our iconic brand as we expand across geographies and demographics, cutting through culture across fashion, celebrity, sports, gaming and music moments. During the third quarter, key campaigns included, first, our holiday season for dreaming activations in every region generating nearly 8 billion global impressions. These included immersive holiday gifting content, unique key city takeovers across New York, Shanghai, London and Berlin and our Singles Day stream in China. Second, our Polo Ralph Lauren Artist and Residence campaign featuring Navajo Designer, Naiomi Glasses, which is the first in a series of groundbreaking partnerships focused on empowering and celebrating artisans within the communities that have historically inspired our designs. This campaign was not just a galvanizing cultural moment for our organization, but also resonated strongly with consumers, driving more than 3 billion impressions and our highest engagements ever on TikTok. We also outfitted an incredible roster of inspiring women including America Ferreira, Jody Foster, Greta Lee and JLo at the L Women in Hollywood event. Janelle Monae and Kate Bock at Art Basel in Miami. And Gauravi Kumari, Princess of Jaipur for a high-profile fundraiser at the dazzling City Palace in Jaipur, India. And who could forget Taylor Swift, who chose an all-American Ralph Lauren look for the cover of Time Magazine as their 2023 Person of the Year. These activations helped to fuel our strongest quarter of new consumer acquisition and brand affinity since the pandemic. We added 1.7 million new consumers to our DTC businesses, up high single digits to last year, driven by all regions. Our Net Promoter Scores accelerated along with positive momentum in brand consideration and purchase intent. And we grew our followers on social media by low double digits to last year, led by TikTok, Instagram, WeChat and Douyin. Moving next to our second key initiative, drive the core and expand for more. Consumers continue to turn to brands they know and trust and styles that live on beyond one season. And this holiday was no exception. As Ralph and our design teams seamlessly married sophisticated casual with styles exuding the luxury and glamor of the season. Our iconic core products, representing about 70% of our business, grew low double digits in the quarter, ahead of total company growth. From our Mesh Polos and Oxford Shirts, to our luxuriously soft Cashmere Sweaters and versatile Blazers, we have established a broad and highly recognizable portfolio of icons that drive our business through both choppy and more stable times alike. And we are incredibly proud of the work Ralph and our creative teams are doing to drive newness and excitement behind these styles, so they appeal to our most loyal and new consumers alike. Performance in core was led by our cable knit sweaters in cotton woolen cashmere, quilted and down jackets and sports coats in the range of tweed, tartan plaid, stretch corduroy and party ready velvets. As we continue to build on the long-term foundation of our core, we also delivered strong growth in our high potential categories, including women's, outerwear and home. Together, these high potential categories increased low double digits to last year. This was led again by women's, our most significant long-term growth opportunity. Driven by an elevated assortment with AUR up mid-teens. Performance was supported by our cashmere, flag and polo bear sweaters, sophisticated wool and cashmere coats, blazers and heritage tweed and modern knit tools and cocktail and evening dresses. Other special releases this quarter included our Polo Country and Element Skateboards Capsule, a limited-edition collection of unisex Polo Country styles and Element Skateboards celebrating the great outdoors. We sold over 2,000 skateboards, highlighting the lifestyle reach of our brand, and appeal to younger consumers. Our limited edition Polo ID handbag collaboration with Mr. Bags in China, which sold out within one minute on WeChat. Our innovative love of the land collaboration with Navajo Designer, Naomi Glasses; Ralph Lauren's first artist in residents. And the annual and much-loved Ralph Lauren Pink Pony collection supporting Ralph's 30-year commitment to cancer care and research. Looking ahead, we will continue to drive our core icons while leveraging the breadth of our brand and assortments to fuel excitement, and desirability. Turning to our third key initiative, win in key cities with our consumer ecosystem. Our key city ecosystems around the world drive elevation and deliver consistency through all of our consumer channels and touch points. Each of these ecosystems is anchored by direct-to-consumer channels, including our stores and digital commerce sites, which combined already represent about 2/3 of company sales. During the quarter, we drove accelerated comp growth while also expanding our connected ecosystems across key markets. Globally, we opened a total of 17 new stores and concessions focused on our top cities with the majority again in Asia. While comps in our Ralph Lauren stores and own digital sites were strong around the world, we were particularly encouraged by the continued improvement in our outlet trends. The key outlet actions we implemented in the first half of the year from our optimized staffing to assortment enhancements and emphasis on quality and value, served us well through holiday and will continue to be drivers as we look ahead. In addition to our existing fleet, we opened a select number of iconic Ralph Lauren stores in the quarter, including our new emblematic store at Singapore's Marina Bay Sands, the first door to offer our luxury collections in Southeast Asia. Our first Ralph Lauren store in the Czech Republic, in Prague's historic old town as well as in Charlotte, North Carolina. And our first Ralph's coffee shops in Paris and the UAE. We also launched our Ralph Lauren digital flagship site in Canada, following our Toronto store opening last quarter. Combined with our elevated wholesale presence, these are helping us introduce a cohesive connected retail experience to our consumers across the Canadian market. By region, growth was again led by Asia with particularly strong performance in China, where sales increased more than 30% this quarter on both comp and new store growth. This was ahead of our expectations, even with last year's easier compares due to the surge in COVID cases. We are still in the earlier stages of brand building in China with meaningful outperformance versus peers in the quarter on consumer KPIs, including brand awareness, consideration and Net Promoter Scores. Our team delivered another successful Singles Day focused on brand building with ralphlauren.cn sales up 25% on lower discounting and higher AURs to last year. Our early performance to date on Douyin has also been very encouraging following our limited launch last fall with an expanded rollout this spring. And finally, touching on our enablers. In addition to our strategic priorities, our business continued to be supported by our five key enablers. I'll share a few highlights from the quarter. As we drive towards best-in-class digital technology and analytics, we tested our sophisticated predictive buying model in our European and Asian stores this quarter. With our initial rollout limited to select sweaters, knit tops and caps, this artificial intelligence-driven model enables better in-stock availability on sizing and best-selling products to drive incremental sales and improved conversion. Based on this early success, we plan to continue scaling its use to an expanded range of categories and markets over time. As we continue to integrate citizenship and sustainability to future-proof our business, we are also proud to be named once again one of Forbes World's Best Employers in 2023. In closing, Ralph and I are energized by our team's excellent execution through this important holiday season. This quarter's performance reinforces how the power of our iconic brand, together with our multi-lever strategy delivers. We are firing on multiple cylinders while not dependent on a single geography channel or category for growth. And this model, combined with our unique agility and the remarkable dedication of our teams is what will continue to differentiate Ralph Lauren through these dynamic times. With that, I'll hand it over to Jane to discuss our financial results, and I'll join her at the end to answer your questions.
Jane Nielsen: Thank you, Patrice, and good morning, everyone. We entered this holiday season with a clear game plan. We invested in brand momentum around the world, expanded giftable core and seasonal products to delight our consumers and drove key operational improvements and flexibility to mitigate near-term macro headwinds. This quarter's strong performance was a testament to the agility of our teams and the resilience of our next great chapter accelerate plan, coupled with the power and global reach of our iconic brand. We reported third quarter revenue, adjusted operating profit and double-digit EPS growth above our outlook. And we achieved this while continuing to strengthen our brand proposition around the world and investing in our key strategic priorities to enable sustainable growth into the future. Top line exceeded our guidance, driven by comp acceleration in DTC with momentum in all retail channels globally. Operating margin expansion was also ahead of our outlook despite our strategic investments and ongoing cotton headwinds as we focus on operating with discipline in an evolving global environment. And we returned approximately $425 million to shareholders in the form of dividends and share repurchases this fiscal year-to-date, in line with our long-term guidance. Let me take you through our third quarter financial highlights, which, as a reminder, are provided on a constant currency basis. Our accelerating brand momentum and investments in key holiday campaigns resulted in 5% total revenue growth. This was above our outlook led by strong double-digit growth in Asia and holiday outperformance in Europe. Revenue in North America was approximately flat to last year, in line with our expectations. Each of our DTC channels contributed to top line growth in the period, with total DTC penetration expanding approximately 400 basis points to last year, adding stability and resiliency to our business, consistent with our NGC strategy. Total company comp increased 9%, accelerating sequentially across all three regions. Ralph Lauren stores continued to lead our global performance. Our positive outlet comps continued to improve following investments in service and expanded core product assortments, driving solid traffic, AUR, and basket size growth in every region. Comps in our owned Ralph Lauren digital sites increased 8% on top of 11% growth last year as we prioritize ongoing investments to expand our footprint and improve the customer experience online. Total digital ecosystem sales were also up high single digits, including a strong recovery in Europe as our largest pure-play account returned to growth. Total company adjusted gross margin expanded 130 basis points to 66.5%, reflecting our long-term elevation work. This was consistent with our outlook, driven by lower freight expense, favorable channel and geographic mix and 9% AUR growth. These more than offset ongoing cotton cost headwinds and targeted promotions to drive conversion during key holiday sale periods. Cotton costs will start to abate at the end of our Q4, beginning with our spring 24 collections. As previously indicated, we are planning a moderation in AUR growth based on a reduced need to pass like-for-like cost inflation onto the consumer. Nevertheless, we plan to continue driving positive AUR increases as a result of our growing brand desirability, ongoing product mix elevation and favorable geographic and channel mix. Adjusted operating expenses increased 7% to 50.2% of sales a 100-basis point increase to last year. The increase as a percent of sales was driven largely by channel and geographic mix shifts in the quarter. With our DTC and international businesses contributing a significantly higher share of sales in the period versus last year. This quarter's strategic investments focused on our key city ecosystems, marketing investments and enhancing the consumer experience and service levels across our DTC channels. Variable selling expenses also rose as a result of stronger retail sales growth. Marketing was 7.5% of sales, up slightly from last year to support our high-impact holiday activations, delivering improvement across our consumer metrics, including brand consideration, Net Promoter Scores and purchase intent. We still expect full year marketing at around 7% of sales. Moving on to segment performance, starting with North America. Third quarter revenue was approximately flat to last year, in line with our expectations as stronger growth in retail was offset by our reduced sell-in to the wholesale channel. In North America Retail, third quarter comps increased 5%, led by a double-digit increase in our Ralph Lauren stores. Our outlet performance continued to improve with positive comps driven by our product elevation and our recent interventions to improve the selling experience and retail environments. Despite taking targeted promotions during the key holiday periods, our outlet AUR increased strongly and discount rates declined versus last year. Comps in our owned ralphlauren.com site were up 4% on top of 9% growth last year. In addition to a strong response to our Black Friday event, recent site enhancements such as upgraded search and navigation drove higher conversion in the quarter. We also launched our Canadian digital site in the quarter. In North America wholesale, revenues decreased 15%, in line with our expectations as we proactively focus on aligning inventory with softer demand trends. We continue to evaluate our brand presence in each store and exited approximately 20 department store doors this year. While we plan to manage this channel carefully into calendar '24, we were encouraged by our improving sellout trends, which meaningfully outperformed our sell-in this quarter. Our AUR in the channel was also up on a year-over-year basis. Moving on to Europe. Revenue increased 6%, with performance led by our DTC channels. This was above our expectations as strong growth across the continent more than offset continued consumer and macro headwinds in the U.K., results included roughly 5 points of negative impact from the earlier timing of wholesale deliveries and lapping last year's favorable post-COVID wholesale allowances. Retail comps increased 11% on top of a strong 11% compare last year with similar performance in our brick-and-mortar and digital sites. We drove strong momentum across brands and categories in Europe, with growth led by gifting, seasonal sweaters and outerwear, which are AUR accretive. Europe wholesale was approximately flat to last year, but included about 11 points of net headwinds from unusual impacts of wholesale allowances and earlier receipts. Strong underlying growth was supported by wholesale reorders, which returned to more normalized trends in the quarter, following recent destocking at digital wholesale accounts. While our Europe business has performed better than expected through the first three quarters of the year we remain cautious on the fourth quarter and into fiscal '25, given highly dynamic geopolitical and macro conditions in the region. Turning to Asia. Revenue increased 17%, with double-digit growth across our largest markets of Japan, China and Korea. Asia retail comps were up 14% with strong growth in both digital commerce and brick-and-mortar stores. China sales increased more than 30% on continued brand momentum, including successful Singles Day events as we lapped last year's COVID impact. Third quarter sales in Japan were up low double digits. Overall inbound tourism recovered to pre-pandemic levels, although Chinese travelers to Japan are still down 70%. Sales in Korea also rebounded to low double-digit growth, benefiting from our recent marketing activations and a shift in the timing of the Chuseok holiday from Q2 last year. Moving on to the balance sheet. Our strong balance sheet and cash flows are key enablers of our Fortress foundation and allow us to make strategic growth investments in our business while returning cash to shareholders. We ended the third quarter with $1.9 billion in cash and short-term investments and $1.1 billion in total debt. Net inventory decreased 15%, below our revenue growth trend with units also down double digits. The decline was driven by stronger-than-expected Q3 sales and our continued efforts to ensure healthy wholesale inventories. As we transition into spring, we believe overall inventory levels are well positioned relative to our outlook for each region. We still expect to end fiscal '24 with healthy inventories below prior year levels with an improved ability to chase into potential demand as a result of our predictive buying model. Looking ahead, our outlook remains based on our best assessment of the current geopolitical backdrop as well as the macroeconomic environment. This includes inflationary pressures and other consumer spending related headwinds, potential supply chain disruption and foreign currency volatility among others. For fiscal '24, we still expect constant currency revenues to increase low single digits, now centering on about 2% compared to our previous outlook of 1% to 2%. Our outlook continues to embed caution around the wholesale channel where year-to-date demand has been softer than prior year. Foreign currency is now expected to benefit revenue growth by about 10 basis points. We continue to anticipate operating margin expansion of approximately 30 to 50 basis points in constant currency to 12.3% to 12.5%. Foreign currency is now expected to have a roughly neutral impact on full year operating margin. We now expect gross margin expansion in the range of 140 to 180 basis points in constant currency, up slightly from 120 to 170 basis points previously. This is driven by favorable freight costs, further mix shift toward international and DTC and continued growth in AUR, more than offsetting full year cotton inflation. Gross margin expansion is anticipated to more than offset expense deleverage due to mix shift and key strategic investments. For the fourth quarter, we expect revenues to increase in a range centered around 2% in constant currency, with stronger trends in retail versus continued caution in wholesale in both North America and Europe. Foreign currency is expected to negatively impact revenues by roughly 160 basis points. While we remain cautious on North America, we expect modest sequential improvement in Q4 with stronger trends in DTC offsetting continued softness in wholesale. In Europe, fourth quarter sales are still expected to be negatively impacted by the earlier timing of wholesale shipments. Excluding this impact, we expect underlying trends in Europe to increase slightly in Q4. And in Asia, we anticipate growth will be closer to our full year guide for the region of up low double digits, as we lap a more normalized compare following the easy COVID compares in Q1 and Q3. We expect fourth quarter operating margin to expand approximately 350 to 400 basis points in constant currency. Largely driven by gross margin expansion with about 40 and 50 basis points of negative foreign currency impact on our operating and gross margin, respectively. We now expect our tax rate to be in the range of 19% to 20% for the full year due to discrete tax benefits recognized in Q3 and roughly 22% to 23% for the fourth quarter. And capital expenditures are now expected in the range of $200 million to $225 million. In closing, Ralph's vision has always been about inspiring people to step into the dream of a better life and this holiday quarter was no exception. We are proud of our team's strong execution on our next great chapter accelerate plan through what continues to be a highly dynamic operating environment. We are focused on what we can control, shifting to GTC, harnessing big data and AI and of course, operating and balance sheet discipline. This puts us in a position of strength as we continue to deliver our commitments and drive long-term value creation. And with that, let's open up the call for your questions.
Operator: [Operator Instructions] First question comes from Matt Boss with JPMorgan.
Matt Boss: Thanks and congrats on a great quarter.
Patrice Louvet: Thank you, Matt.
Jane Nielsen: Thanks, Matt.
Matt Boss: So Patrice, relative to mixed results across retail, Ralph Lauren clearly stands out as a winner over the holiday period here. What gives you confidence that you can maintain this momentum in a volatile backdrop? And then, Jane, any constraints to achieving the mid-teens constant currency operating margin target as we think about next year? And maybe as we think multiyear, do you see this as a ceiling for the business, or how best to think about longer-term operating margin opportunity?
Patrice Louvet: Good morning, Matt. Thank you for your question. What I would say is resilience is built into every facet of our approach so we can stay on offense as we pursue sustainable long-term growth. So what gives us confidence? A few things to call out. First, we continue to invest in our brand and our way of living so that we can continue to deliver cut through cultural moments and drive desirability across regions and demographics. Listen, our focus on high impact Q2 and Q3 marketing really enabled us to hit the ground running coming into this holiday season. And it helped accelerate consumer metrics, top-line outperformance and the continued elevation in what I think we can all say was a pretty promotional environment. The second point is really around our products, right? And our broad portfolio of iconic core products, transcend trends, really focused on style and elegance, not on trends and allow us to flex as consumer needs evolve. The third area regard to our go-to-market model and our DTC channels. In DTC, I think as you know well, now represents about 2/3 of the company. So a majority of the business is DTC for Ralph Lauren. And the DTC channels are really where the world of Ralph Lauren comes to life most powerfully, where we engage most directly with the consumer and have the most ability to impact the consumer experience. And that's where we've invested most. And we delivered healthy comp growth across all of our direct-to-consumer channels this quarter, including our Ralph Lauren stores, our own digital sites and outlets in Asia, in Europe and in North America. So as you've seen, our plan is supported by multiple drivers of growth. It's not based on a single area, but diverse opportunities across categories, channels across key cities in every single region. And I think this is really evident from Q3 with double-digit growth, not just in China, up 30% in China. We're really proud of the team doing that. But also proud of the work our teams are doing in Japan, Korea, Germany, where we grew double digits in this quarter as well. And North America, which saw positive comp results across our DTC channels this quarter as well. Our core product is working, that's about 70% of the company. Women's and high potential categories more broadly are also working. So this is underpinned by our agility and operational discipline muscles, which have been built over time. And I think you see them in action during this last quarter. You can see the way we're managing our inventories. You can see the way our diversified global supply chain is helping us navigate volatility all around the world. And we expect this to continue to serve us really nicely moving forward, knowing that volatility is really our new normal. So Matt, our model is resilient. It's differentiated we've created a sustainable approach for long-term growth and value creation in these dynamic times. And I'll let Jane provide perspective on margin.
Jane Nielsen: Yes, Matt. So we are still firmly committed to our 15% constant currency operating margin. We think it's the right goal for our businesses. And specifically to your question, do I see any constraints? Obviously, we're operating in a volatile and dynamic operating environment. We're not immune to that. But what gives me confidence is our organization's agility to address those changes, navigate them effectively and lean into our multiple engines of growth, be it different geographies, be it different products, be it different channels that we drive as you saw us drive DTC this quarter so effectively. And I don't view 15% as a ceiling at all. That's why we've identified these high potential categories in women's handbags and planting seeds in homes that those businesses can scale over the longer term and provide new engines for growth and profitability.
Operator: Next question comes from Michael Binetti with Evercore ISI.
Michael Binetti: HI, guys. Great quarter. Thanks for taking our questions here. I guess a couple tactical ones. North America, 15% wholesale decline in the quarter. Nice to see you guys controlling it where you can in the D2C business. On that number, though, I think you said POS in wholesale was well ahead of sell-in on wholesale. But it sounds like AURs are increasing in the channel and you're maintaining a cautious posture there still. Is there a point on the horizon where you see those two numbers can start to converge, Jane a little bit. And also, I guess, Europe as a stand out here. I want to make sure I understood the 11% growth rate would have been 5 points higher in the quarter that comes out of the fourth quarter. But even with that, it looks like you're planning for a deceleration in Europe in the fourth quarter. I know you've been planning that market very cautiously for a long time. It's nice to see you coming in above your above your guidance. But is maybe a little bit more context on what you think the underlying growth rate is in Europe in the fourth quarter and how we should think about that market for '24? Are you seeing any less pressure on the wholesale side there? Maybe just a little bit of color, please?
Jane Nielsen: Sure. Let me start with your first question on wholesale. So we did see our sell-in down 15% in North America. What's encouraging is that our sellout was down about mid-single digits in the quarter. And we had low single-digit increases in AUR. Now Michael, what's underscoring that is we wanted to be competitive, we didn't intend to be moved backward in that channel through the holiday season. We were intentional about our sell-in as we came off a softer spring and fall, we wanted to make sure that our receipts reflected a more cautious view of seasonal inventory, and we were able to backfill into stronger core and replenishment items. So as I look into the future, especially in the fourth quarter, I see more balance between sell-out and sell-in. And I think the expectation of what we saw in sell-out this quarter is a good indicator of what we'll see in Q4. And then on Europe, we were really pleased with what we saw in Europe this quarter. Overall, our business performed above our expectations. We had solid growth in every market with some softness in the U.K. based on the inflation and some consumer pressures that we had there. But really, we saw strong continued full digital pure-play strength as well as good wholesale strength with accelerating DTC trends. So some of the investments that we've talked about specifically in North America also paid dividends in Europe as we invested back in service and really saw marketing momentum with our new consumers. As I think about Q4, we do remain cautious. It's an inflation pressured environment. Obviously, the situation in the Middle East and the situation in the Ukraine are closer in on Europe. I see some pressures in Europe and in Spain with inflation. But I do see that over the course of the quarter what you'll see in wholesale is the underlying growth is going to be pretty stable. And then, we're going to come in, as we talked about in Europe with some ups and downs and some timing shifts that we expect Europe to perform in the low single-digit range for the year. Again, I know there's some quarter-to-quarter volatility based on timing shifts.
Patrice Louvet: And maybe I'll just add one data point on your first perspective, which is on North America wholesale where indeed need to be cautious moving forward. We are encouraged by our digital wholesale performance this past quarter, which was up mid-single digits. So the challenge really is stores, driving traffic in the stores, running conversion in the stores working closely with our wholesale partners to activate this.
Operator: Your next question comes from Jay Sole with UBS.
Jay Sole: Great. Thank you so much. So maybe, Patrice, just to follow up on those last comments. Can you just talk about your enthusiasm for your direct consumer business, particularly opening stores, given the comments you made in the opening remarks. Can you maybe just compare how you feel about it now versus, say, 90 days ago?
Patrice Louvet: Still is enthusiastic, Jay. So if I step back a little bit, just think about our go-to-market model, really focused on top 30 cities around the world building an ecosystem that is led by DTC, but incorporates quality wholesale within that. And we know, as we look at our footprint, particularly in North America and in Europe or in China, actually, that we have opportunities to expand our full-price store presence. And you've seen us do this at a relatively healthy clip probably most actively in China, but more recently in Europe and in North America. As we think through the model going forward, Jay, we're still going to operate with this focus on the top 30 cities, build this ecosystem and lean into DTC. So I mentioned earlier, DTC is about 2/3 of the company. We expect that percentage to increase over time. Because that's really where we have the opportunity to better engage with the consumer and provide a full raw foreign experience. This being said, quality wholesale continues to play a role in the mix moving forward. We've committed to a number of store openings during Investor Day, and we still stay true to that but this year, it's about 80 stores.
Jane Nielsen: And we're still on track for about 250 new doors over the 3-year time horizon.
Operator: The next question comes from Brooke Roach with Goldman Sachs.
Brooke Roach: Good morning and thank you for taking our question. Healthy improvement in the outlet channel again this quarter. And I know a lot of ground has been covered on DTC, but I was hoping you could elaborate on the changes that are working best there and your plans for further actions to drive continued accelerated improvement from here in outlet in both North America and Europe. Thank you.
Jane Nielsen: Yes. So Brooke, we were really pleased with what we saw in the outlet channel. And what we see working is that the investments that we've made in our brands are paying off across our channels. But it's particularly in the outlet channels, we've seen nice solid growth in traffic across all three regions. Additionally, some of the very targeted promotion activities that we did during the peak holiday selling period worked very effectively, especially in the outlet channel. And we're able to do that while still increasing AUR across all three regions. We also see a role for the investments that we made in service. So we increased our service in our stores, and we're seeing conversion as a result of that. Obviously, brand investments and service investments are durable groups over time. And as we said, we'll be led by our consumers on our elevation journey and be very targeted in addressing some of our value-oriented consumers over time.
Operator: Next question comes from Laurent Vasilescu with BNP Paribas.
Laurent Vasilescu: Good morning. Thank you very much for taking my question. Jane, I think you mentioned for the fourth quarter, the operating margin on a constant currency basis will be up 350 to 400, that's largely driven by gross margins. If I recall correctly, Jane, turn of the commodities into tailwind doesn't really happen until the last month of the quarter. So I'm just curious to know like how -- what the drivers are for that gross margin for the fourth quarter? And then if you could possibly for the audience, maybe quantify how much cotton was a headwind over the last few years. Is it fair to assume that it was about 300 basis points cumulatively. And if that's the case, how do we think about that as it turns into a tailwind? Thank you very much.
Jane Nielsen: Good morning, Laurent, and thank you for the question. So you're right. We've guided 350 to 400 basis points largely driven by that's the equal guidance that we gave in gross margin. So it's driven by gross margin. And so SG&A becomes a neutral factor. And we still will have over 100 points of tailwind from freight, even with consideration of the resi as we come into the fourth quarter. So that's a durable factor for us as we exit this year. We're going to have favorable benefits from channel and geographic mix about similar, I think, to what you saw this quarter. There are two big changes. The big change is that cotton becomes a tailwind at the very end of the quarter. It's been a meaningful headwind over the course of the year of about 110 basis points. So as it becomes a tailwind, the pressure that we felt from cotton has reduced significantly. Also AUR growth becomes a more powerful driver in gross margin. as we expect our AUR trajectory to be about similar, we expect to get more efficiency, especially in our promotion lever. You saw us be quite focused in the holiday quarter as we come into the fourth quarter, we'll be less focused and we have less inventory that have to go out at end-of-season sale. So that's a gross margin benefit. I just want to be clear that cotton still a slight headwind in the quarter, but again, vastly reduced. And that's the key drivers that we see as I look at cotton over the last several years. It's important to note that even today, cotton still about 25% above pre-COVID levels. So it hasn't gone down to pre-COVID levels. And I expect that, that with the best visibility that we have, that's about a stable point for cotton. But it's actually been a little less than the 300 basis points, Laurent. I would say it's been about 110 basis points this last year and a little over 100 basis points to 150 basis points in the previous year.
Operator: Next question comes from Chris Nardone with Bank of America.
Chris Nardone: Great. Thanks guys. Good morning. Just wanted to know how to think about the impact your operating margin next year in a scenario where wholesale sell-in starts to improve globally. And then I heard you loud and clear on reiterating the 15% constant currency target for operating margins next year. But can you provide an update on where we are in your cost savings program that you outlined at your Investor Day and your ability to pull that lever if sales and macro volatility continues this year? Thank you very much.
Jane Nielsen: Yes. So Chris, what we see as we talk about a more balanced focus between sell-in and sell-out, next year, we think that, that it will be a favorable dynamic in terms of OI margin expansion, and we can couple that with the momentum that we're seeing in our DTC channel. So we view that as favorable. Although in aggregate, we're still cautious about the channel as we enter into fiscal '25, but we don't expect to see the level of sell-in decline that you saw, particularly in North America this quarter. And then from our $400 million gross savings plan, we are on track for that plan. We delivered about 1/3 of it in fiscal '23. We'll deliver another 1/3 in fiscal '24. The difference between '23 and '24 is it's a little more balanced in our cost of goods sold line versus the SG&A line. And we feel we're on track delivering the full $400 million as we close out the year. And of course, we'll be very disciplined about resource allocation. We've made some significant investments this quarter and this year, and we'll expect those investments to scale [in a year] [ph] growth and profitability as we go into fiscal '25.
Operator: Next question comes from John Kernan with TD Cowen.
John Kernan: Excellent. Congrats on the results, the 9% comps and another strong quarter. Patrice, you talked about women's, home, accessories, handbags in particular, as incremental growth categories. Can you remind us where we are as a percent of the mix with some of those categories and how those have trended since you put out the targets for the next great chapter plan in 2022?
Patrice Louvet: John, we haven't guided specifically in terms of the relative percentages. We did say that the women's opportunity was quite meaningful. 56% of our customers walking into our stores or shopping on our website are women and yet women's has represented less than 25% of the company's business. So you can expect that percentage to go up, but we haven't guided specific breakouts. We do have a lot of confidence in the potential of these categories. We're really pleased with the customer response across our women's portfolio. Women's really led the dance this quarter again and really resonating nicely. Outerwear is also a category that we're leaning in. You've heard others say, the season was challenging and certainly, the temperatures were maybe a little milder than anyone would have liked. But outerwear outperformed for us again this quarter, teams doing a great job developing a line of products across different outerwear categories that's really resonating. And as we look ahead, we still see a lot of runway, particularly on women's outerwear. Moving forward, strong performance with our handbag business. We launched the RL888, which was hard to miss in a number of our key cities around the world, very nice response to that. with continued momentum on the Polo ID bag and the little partnership or not little, but the partnership we had with Mr. Bag in China. And also good progress on home with new capability building as we bring in our new licensing partner on furnishing. All in all, all these categories are AUR accretive. So if you think about the different categories I laid out, when you look ahead in terms of what's going to be accelerators for the company, both in absolute top line and from an AUR and margin standpoint. We look forward to continuing to build on the momentum that we have in these spaces.
Operator: Your next question comes from Dana Telsey with Telsey Advisory Group.
Dana Telsey: Hi. Good morning, everyone, and nice to see the nice results. Just as you think about your channels of growth and obviously, DTC being so much more important than wholesale, or the interesting things on wholesales, the stronger results that you saw in Europe this quarter with the reorder trends. Anything we should be thinking about the wholesale business and reorder trends in Europe and what it could mean for North America? Is there anything to parse apart on North America? And then just lastly on the whole digital side of the business, what are you seeing in terms of the mix, whether is it AUR growth? Is it new customer activation? Is it more from existing customers and how you see that growing as a percent of sales? Thank you.
Jane Nielsen: So just in terms of what we saw in Europe in wholesale, we were really pleased with what we saw overall in wholesale, especially as we look at Europe growth on an underlying basis, where it was even stronger. I think as we step back the differentiator in Europe is the wholesale channel itself is more elevated. And our Ralph Lauren Consumer is also more elevated. And that doesn't mean we don't have learnings that can apply in North America. I think as we look at assortment composition and as we look at marketing opportunities with our wholesale partners, Europe has some great best demonstrated practices and there's certainly an opportunity to cross-pollinate those issues. But those are the primary differences in what we see in terms of performance.
Patrice Louvet: And then, Dana, on the digital front, let's start with North America. So North America comps were up 4% digital. It was really driven by traffic, all right? That was the key traffic. We saw improvements on conversion basket size. What's really exciting in the new consumers that we are recruiting. And I mentioned in my prepared remarks, we're up 1.7 million new consumers this last quarter is the momentum we have on brand is attracting higher value younger consumers, and we're seeing that play out very clearly in digital. If I look at the other regions, we were super pleased with the performance in Europe with digital at 12%. This was also driven by very strong traffic during the holiday events and new capabilities that the teams have put in place there. And then, finally, Asia, which is a smaller base and newer flagships also a very strong momentum, up 25% versus plus 21% last compare. And I think same thing new consumers, higher-value consumers, younger consumers, progress on conversion. And listen, as we look at this channel for the future, we still see significant runway. This business is a little less than 30% of our total company. We had guided to continued acceleration within this channel. As we build new capabilities, we just launched a new search engine in the U.S. also we mapped our product presentations, we expect to see continued progress in this space. So we feel good about the results that the teams are achieving across all three regions with more to come.
Operator: Our final question comes from Rick Patel with Raymond James.
Rick Patel: Good morning, Jane. I will add my congrats as well. How should we think about the flow-through of outperformance as we go forward? Because for the year, it looks like you raised guidance for gross margins, but less so on operating margins. So curious which areas might be getting incremental spend here? And then, secondly, just zooming out which areas of the business will you look to distort investments to as we think about continuing the strong momentum?
Jane Nielsen: So Rick, I think as we look at flow-through on outperformance, it's really going to be about the cadence of our investments and continuing to stay focused on our productivity metrics. As you do look at flow-through especially on the gross margin line, DTC, while we've been able to, on wholesale softness lean into DTC, which is a good thing. It is our strategy. The gross margin does have to cover some of that higher level of SG&A. We've been able to, I think, with real agility balance that. And of course, as we look forward, we'll look at that balance between slowing through outperformance and making investments in our business. As we have looked at where to invest in our business, we're very encouraged by the investments that we've made in digital. You know that, that's an important part of our future, and we're going to continue to make those investments. equally developing our ecosystem. As I said earlier, we are on track for delivering 250 new stores over the 3-year time horizon. We believe that stores are an important part of our brand presentation and our customer service experience. So you'll see us continue to drive that. And then finally, our brand. One of the things that we are proudest of this quarter is the momentum in our brand and our underlying health with our consumer. Our NPS score was higher, our purchase intent score was higher, our value perception score was higher. And so we believe in our brands, we will always invest in it and we think it will pay dividends not only in the short-term but in the long-term.
Patrice Louvet: All right. Well, this is the end of our call. So thank you, everyone, for joining us today. We look forward to sharing our fourth quarter and year-end results with you in May. And until then, take care, and have a great day.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. You may now disconnect.